Operator: Good day, ladies and gentleman. And welcome to the John B. Sanfilippo & Son Incorporated Second Quarter Fiscal 2017 Operating Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference Mr. Franc Pellegrino, Senior Vice President of Finance. You may begin.
Franc Pellegrino: Thank you, Vicky. Good morning, everyone. And welcome to our 2017 second quarter earnings conference call. Thank you for joining us today. I am here today in place of Mike Valentine, our CFO, was unable to make this call this morning. On the call with me today is Jeffrey Sanfilippo, our Chief Executive Officer; and Jasper Sanfilippo Jr., our President and Chief Operating Officer. We may make some forward-looking statements today. These statements are based on our current expectations and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made including forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about the risks and uncertainties that are inherent in our business. Starting with the income statement, net sales for second quarter of fiscal 2017 decreased 10.6% to $249.9 million in comparison to net sales for second quarter of fiscal 2016 of $279 million. The decrease in net sales was primary attributable to significantly lower selling prices for almonds and walnuts. Sales volume declined by 3.8% due to decrease in sales volume in the commercial ingredients distribution channel. The sales volume decline in the commercial ingredients channel resulted from the loss of a common butter customer and lower sales of farmer stock peanuts to other peanut shellers and bought inshell walnuts to international customers due to the fact that we were not carrying excess inventories of farmer stock peanuts and inshell walnuts as it was case last year. Sales volume increased in the packaging and distribution channel from increase sales of peanuts and trail mixes to existing customer. Sales volume increased in the consumer distribution channel primarily from increased sales of our Fisher Recipe Nuts and Orchard Valley Harvest branded products, while sales volume for private brand products was relatively unchanged. Fisher Recipe Nuts volume increased by 14.8%, primarily due to introduction of a larger package size for walnuts, distribution gains with new customers and increased promotional activity. Fisher Nut volume declines by 12.3%, due to decrease display opportunities and lower promotional activity, primarily as retailers do not report market dealer to IRI. A 10.4 increase -- a 10.4% increase in combined sales volume for Orchard Valley Harvest and Sunshine Country produce products also contributed to sales volume increase in the consumer distribution channel. The increase in sales volume for our produce brands resulted from a 43.4% increase in sales volume for Orchard Valley Harvest brand due to new item introductions. The OVH sales volume increase was partially offset by a decline in sales volume for Sunshine Country produce products, due to some loss distribution and existing customer. Net sales for the first two quarters of the current year decreased to $471.7 million from $504.8 million for the first two quarters of fiscal 2016. The decline in net sales and a year-to-date comparison was also attributable primarily to significant lower selling prices for almonds and walnuts. Partially offsetting these lower selling prices was a 2.2% increase in sales volume. Sales volume increased in the consumer distribution channel from increase sales of Fisher Recipe Nuts, private brand snack nuts and Orchard Valley Harvest produce products. Sales volume increased in the contract packaging distribution channel primarily for the same reasons I previously noted in the quarterly comparison. Sales volume declined in the commercial ingredients distribution channel also for same reasons I cited in the quarterly comparison. Second quarter gross profit decreased by $1.6 million and gross profit margin as a percentage of net sales increased to 17.4% for the second quarter fiscal 2017 from 16.1% for the second quarter fiscal 2016. The decrease in gross profit dollars was mainly due to decreased sales volume. The increase in gross profit margin primarily resulted from lower commodity acquisition costs for almonds, which was partially offset by higher commodity acquisition costs for pecans and cashews. Gross profit for the first two quarters of the current year increased by $1.6 million, while gross profit margin as a percentage of net sales increased to 16.9% from 50.5% for the first two quarters of fiscal 2016. The increases in gross profit and gross profit margin in the year-to-date comparison primarily resulted from lower commodity acquisition costs for almonds and increased sales volume. Total operating expenses for the current second quarter increased to 9.5% net sales from 9.1% for the second quarter of 2016. Total operating expenses for the current year-to-date period increased to 9.2% of net sales from 8.9% for the first two quarters of fiscal 2016. The increase in total operating expenses, as a percentage of net sales, in both the quarter and year-to-date comparisons were mainly due to a lower net sales base. Total operating expenses decreased by 6.6% in the quarterly comparison and 2.7% in the year-to-date comparison, decrease in compensation and advertising expenses were primary drivers for dollar decrease in total operating expenses. Interest expense for the current second quarter was $600,000 compared to $800,000 for the second quarter of fiscal 2016. Interest expense for the first two quarters of the current year decreased to $1.2 million from $1.7 million for the first two quarters of fiscal 2016. The decrease in interest expense in both comparisons was attributable primarily to lower debt levels. Income tax expense in the quarterly comparison favorably impacted but the company’s application of a recently adopted accounting standard relating to share-based compensation awards that vested during the current second quarter. Now moving on to inventory, total value of inventories on hand at the end of the second -- at the end of the current second quarter decreased by $2.6 million, or 1.4%, compared to total inventory value at the end of the second quarter of fiscal 2016. The decrease in total value of inventories on hand was primarily driven by lower costs of finished goods which resulted from lower acquisition costs for walnuts and almonds. The weighted average cost per pound of raw nut and dried fruit input stocks on hand at the end of the second quarter of fiscal 2017 increased by 4.5% compared to the weighted average cost per pound at the end of second quarter of fiscal 2016. The increase in the weighted average cost per pound of raw nut and dried fruit input stocks was mainly due to higher acquisition costs for pecans and cashews, which were offset in part by declines in walnut, almond and peanut acquisition costs. Finally, our Board of Directors recently adopted a dividend policy under which it intends to pay an annual cash dividend on Common and Class A Stock. The annual dividend would be declared around the conclusion of our fiscal year and paid in the first quarter. We expect the dividend could be paid in the first quarter fiscal 2018 will be at least $0.50 per share. I will now turn the call over to Jeffrey Sanfilippo, our CEO provides addition comments and our operating results for the second quarter of fiscal 2017.
Jeffrey Sanfilippo: Thank you, Franc. Good morning, everyone. Coming up the strong momentum from our first quarter of fiscal ‘17 net income and diluted earnings per share reached record levels for any second fiscal quarter for the company. This is the fifth consecutive year the company has reported record second quarter operating results for net income and diluted earnings per share. In addition to this as Franc just mentioned, we're pleased to announce our dividend policy. We believe to acknowledge the time to begin the practice of paying an annual dividend to our stockholders. This dividend policy advances our goals of creating long-term stockholder value and expanding our stockholder base and is supported by our strong financial performance. The Board will also continue to consider the declaration of special dividends around the time of each annual meeting of stockholders just as we did this past year. In November Q2 at the annual stockholders meeting the Board of Directors declared a special cash dividend of $2.50 per share on all issued and outstanding shares of Common Stock and Class A Common Stock of the company. A special dividend was paid on December 13, 2016, to stockholders of record at the close of business on November 30, 2016. This would not be possible without the hard work and dedication of our management team and every one of our employees. I thank them for their hard work, leadership and supports. We continue to execute our strategic plans to grow JBSS brands, expand consumer reach and provide best-in-class integrated nut solutions for key partners. We also remained focused on operational efficiencies to reduce costs and add production capabilities throughout our manufacturing and supply chain. I will talk about changes in the core strategy to expand consumer reach and pursue alternative customer channels. We are making progress as we begin to execute our plans. We were successful in expanding JBSS’ snack brand into a major home-improvement retailer. In addition, our food service chain is having initial success in expanding our distribution with non-commercial customers. We defined in the non-commercial customer as a location that sells food where food is not their primary business. This will include organizations such as colleges or universities cafeterias, healthcare institutions and corporate industry. As we continue to make progress I will highlight our activities on future calls. Turning to our sales review by JBSS channel. Net sales in the consumer distribution channel decreased by 5.3% in dollars and increased 2.2% in sales volume in the second quarter of fiscal 2017. The sales volume increase was driven by increased sales of our branded products. The increase in sales volume for our produce brands resulted from a 43.4% increase in sales volume for our Orchard Valley Harvest brand due to new item introductions which was partially offset by a decline in sales volume for Sunshine Country produce products due to lost distribution. Net sales in the commercial ingredients distribution channel decreased by 36.2% in dollars and 29.1% in sales volume in the second quarter of fiscal 2017. Sales volume decreased for the quarter, Franc mentioned, was primarily due to lower sales of peanuts to other peanut shellers, a loss of an almond butter customer and decreased sales of bulk inshell walnuts to international customers. We’ve talked about optimizing our sales focus and here is a great example of how we shifted some of our volume to other channels where we are able to enhance our margins and improved inventory positions. We successfully replaced the lost sales volume in the industrial segment of our commercial ingredient channel with strong volume growth for our branded and contract packaging products. In the contract packaging channel we saw -- again saw meaningful sales volume growth due to the efforts we made in assisting customers as they launched new peanut and trail mix products and gain new distribution. Net sales in the contract packaging distribution channel increased by 7.3% in dollars and 13.7% in sales volume in the second quarter of fiscal 2017. The sales volume increase for the quarter was primarily due to increased sales, as I mentioned, on a lot of trail mixes and peanuts to existing customers. Turning now to category updates for our second quarter of fiscal 2017. As always the market information I'll be referring to is IRI reported data and today it is for the period ending December 25, 2016. When I refer to Q2 I'm referring to the 13 weeks ending December 25th. References to changes in volume or price are versus the corresponding period one-year ago. We look at the category and IRI's total U.S. definition, which includes food, drug, mass, Wal-Mart, military and other outlets. When we discuss pricing we’ll refer to average price per pound. Breakup of the recipe, snack and produce nut categories are based on our custom definitions developed in conjunction with IRI. The term velocity refers to the sales per point of distribution. First let me review some category dynamics. The total nut category increased in pound volume by 2% and declined in dollar sales by 1% in Q2. Overall, prices at the macro level declined 3% versus year ago. Now I will talk about each category in a little more depth, starting with recipe nuts. In Q2 the recipe nut category struggled declining 9% in dollars sales and 4% in pound sales. Walnut pound sales were up 9% driven by 22% decline in weighted average walnut prices versus the prior year. But the walnut pound sales increase was offset by pecans and almonds. Pecan pound sales decline 10% driven by a 9% increase in average prices versus the prior year and almond pound sales declined 13% despite a 6% decrease in average prices. Consumers appear to have migrated to the snack or produce section of the store for almonds as almond pound consumption in both these sections increased versus last year. Our Fisher brand had a very strong quarter and continues to gain momentum behind our integrated marketing efforts. Fisher recipe nuts increased 16% in dollars sales and 21% in pound sales in the quarter versus last year. As a result, Fisher pound share in the category increased 6.2 points versus last year. Fisher recipe continues as a leading branded recipe nut with an overall share of 29.9%, which is 12.4% -- 12.4 share points ahead of our nearest branded competitor. The growth was driven by an increase in distribution of 8 percentage points of ACV, as our sales team continues to translate our retail success into greater retail penetration. Distribution for Fisher recipe nuts is now at 57% ACV. In addition to the distribution gains, pound velocity increased 18%. The velocity growth was driven by strong merchandising performance at new and existing customers and the effectiveness of our brand, no preservatives and non-GMO messaging. Our continued brand equity efforts on Fisher coupled with our distribution gains helped the brand overcome category weakness and deliver growth in Q2. Now let me turn to the snack category. In Q2 the snack category decreased 2% in dollar sales and was flat in pound sales versus last year, and weighted average prices decreased 2% driven by declines in almonds of 8% and in peanuts of 3%. Fisher snack increased by 10% in sales dollars and 35% in pound sales as measured by IRI in Q2. The increase was driven by new distribution and an increase in pound velocity of 18% as measured by IRI. Fisher sales volume, however, declined 12.3% overall due to declines at non-IRI customers. Orchard Valley Harvest business had a strong Q2 quarter increasing 73% in dollar sales and 79% in pound sales. Orchard Valley Harvest grew faster than the category, which was up roughly 10% in pound, resulting in three-tenths of a point increase in pound share. Our ACV distribution has increased to 34% nationally and our velocity increased 50% by strong merchandising efforts. We have continued to build on this success by launching new products such as our omega-3 mix and a dark -- and dark chocolate covered fruits both in multipacks. Sunshine Country, our other brand in the produce section of the store did not perform as well as Orchard Valley Harvest. The brand declined 15% in dollars and 11% in pound sales. The brand declined in sales as we were overlapping aggressive merchandising last year at the key customer. Our total produce business Orchard Valley Harvest and Sunshine Country grew 25% in pounds in the second quarter compared to a year ago. In closing, we have seen record increase as an acquisition cost recently for pecans in the 2016 crop year, which falls into our current fiscal 2017 year, and we also have seen significant increases in cashew acquisition costs. The almond and walnut market prices have start getting stronger with higher demand for walnuts globally and almonds internationally. So we will be taking price increases in Q3. While we face competitive challenges every year that impact our company we have proven our ability to manage through volatile markets and we have volume challenges and headwinds going into the remaining back half of fiscal ’17, but the management team remains focused on consistent execution of our corporate goals to create customer and shareholder value. Our resources are devoted to three specific areas, expansion of national distribution of our Fisher and Orchard Valley Harvest branded products, expansion of our customer reach by entering new distribution channels, launching differentiated products and investing in new businesses, and continue value-added growth of non-branded business with our key customers. We appreciate your participate in the call and thank you for your interest in our company. I will now turn the call back over to Franc. And since Mike is out of the office today, if you have questions after the call, please contact Franc at area code 847-214-4138. Thank you.
Franc Pellegrino: Thanks, Jeff. We will now open the call to questions. Vicky, please queue up the first question.
Operator: [Operator Instructions] And our first question comes from Francesco Pellegrino with Sidoti and Company. Your line is now open.
Francesco Pellegrino: Good morning, guys.
Jasper Sanfilippo:
Jeffrey Sanfilippo: Hi, Franc.
Francesco Pellegrino: So, first off, the special dividend, it seems there has been something in the works for quite some time now. Congrats on that. But just want to hear your thought process behind it, why we are sorting out with a modest dividend just in the first quarter as compared to maybe spreading it out evenly amongst all four quarters and maybe where the dividend can go going forward and also if you will still be considering special dividend as well? Sure. Francesco, this is Jeffrey. So we have talked about a dividend policy over the last couple years, actually something I have focused on and I wanted to do for a long time, obviously, our financial performance has been extremely strong and it always us to put a policy in place. The $0.50 minimum that we’ve talked about was something that we felt comfortable with putting out there initially. We will be considering special dividends throughout the year as well, just as we have done in the last couple years, usually announced our stockholders meeting in -- at the end of the year.
Francesco Pellegrino: Okay. So the, look, you guys are reporting record results, it seems like quarter after quarter after quarter, is there right now certain loss that the company could incur, while still maintaining this $0.50 dividend, if you incur $10 million loss, let's say, next year, let’s say in 2019, would you still be able to support the dividend going forward in the first quarter of 2020, for example.
Jasper Sanfilippo: We don’t anticipate losing $10 million anytime soon but based on our availability we believe that no that’s stable for awhile.
Francesco Pellegrino: Okay. So regardless of the volatility in earnings you guys will be able to just consistently payout this dividend, it sounds like given just how modest it is?
Jasper Sanfilippo: We believe so.
Jeffrey Sanfilippo: No, it’s a, Francisco, we really focus on managing that volatility, I think, we have proven that over the last couple years. We are not the same company we were even three years ago with our focus on building our branded business, adding value at key customers and now expanding our consumer reach. So I don’t anticipate we are going to have a huge fluctuation in commodity impact that we've seen in past years. That’s why we are confident in establishing the dividend policy today.
Francesco Pellegrino: Without a doubt and you guys have done a phenomenal job of just growing out your brand which has almost created like this nice branded mode around the commodities that you ultimately buy and then sell. I just want to move over to volume, so I guess, when it looks, given my expectations for the quarters, just where nut prices are going and that we would get a little bit more turnover in the quarter, but when I think about some of the elevated volume sales that you had in the, what was it, the commercial ingredients line that, you sort of have done a really great job of, sort of telling us, hey, probably you are going to be there in Q2 whether it would be almond butter or it was the inshell walnuts sales or it was peanut sales to other peanut processors. I get why volume was going to be up next, but is there would maybe quantify what that volume was in the year ago period?
Jasper Sanfilippo: For those three items, those three items slightly represented over 5 million pounds for the quarter.
Francesco Pellegrino: So they represented over 5 million pound essentially if we strip that out from the year ago period volumes are basically up.
Jeffrey Sanfilippo: Yes.
Jasper Sanfilippo: And the volumes are up on our Fisher brand which is the part of our business we are focusing on, combined Fisher brand volume was, I think, up approximately 8% quarter-over-quarter.
Francesco Pellegrino: Okay. I'm sorry, what was that, start again.
Jasper Sanfilippo: Our volume is up on in the Fisher brand business and the consumer channel I believe volume is up around 8% for total Fisher which includes recipe and snack.
Francesco Pellegrino: Okay. I noticed in the first you guys also give us a volume performance against the consolidated brand, as well as private label, noticed that sort of what’s there in the 2Q release, anyway to get that, if you have it handy?
Jasper Sanfilippo: It’s in the press release, the private label is flat for the quarter.
Francesco Pellegrino: Okay. And branded was…
Jasper Sanfilippo: Total brand is approximately 8%.
Francesco Pellegrino: Okay. So, based upon some of the things that I may able to back into, I see branded revenue up 7%, branded volumes up 8%, so that's pretty nice. But then I see private label revenue down 13%, make sense it’s lower selling prices, would have thought you would have got a little bit more turnover. I see that you did address why volume was flat year-over-year with what I'm thinking it probably maybe a single large customer is flat volume just maybe a concern in 2Q or can we expect the volumes to sort of rebound in Q3 and Q4 for this private label business?
Jeffrey Sanfilippo: This is Jeffrey, Francisco. So there were some dynamic that we had no control over, some of the things that some of our key retail partners did with their shelf allocation and some of the category management decisions they made that had negative impact on their private brand volume. We anticipate that they are going to make some positive changes going into our Q3 and Q4 to turn that volume around.
Francesco Pellegrino: Okay. Contract packaging, when I just think about that distribution channel, I see you guys have new distribution, looks like new additional volume from trial mix and peanut sales. Is this with a single customer, a single -- one of your bigger customers or is it sort of spread out just be a greater distribution amongst the collective host of customers?
Jasper Sanfilippo: Yeah. Francisco, this is Jasper. I would say that it’s kind of mix of a small handful of contract manufacturing customers currently equally.
Francesco Pellegrino: Okay. Looking at the Fisher snack, I saw that was down almost Fisher snack down, Fisher snack nuts were down 12% on volume, is it the timing thing with the promotional spend?
Jeffrey Sanfilippo: Yeah. Part of its timing, part of it, you saw we are seeing retailers look at cleaner lower policies, where they are not putting as much distribution on the floor during Q2, so which reduces some of the merchandising opportunities that we have the prior year. So little bit of is changing merchandising strategy at the retail level, but some that is also timing. We anticipate to make some that up.
Francesco Pellegrino: Okay. I got a couple more questions, but I am willing to come back in queue, if anyone has anything.
Jeffrey Sanfilippo: Thanks, Francisco.
Jasper Sanfilippo: Thank you.
Operator: [Operator Instructions] And we do have a follow-up from Francesco Pellegrino with Sidoti and Company. Your line is now open.
Francesco Pellegrino: Okay. I am back. So let’s talk about Sunshine Country for a minute. Right now is Sunshine Country, is the volume base for that brand larger than OVH?
Jasper Sanfilippo: No. It's not.
Francesco Pellegrino: Okay. It’s not, what's happening with that brand and to be honest with you, when I think about produce, a large part of the conversation has really been around the stellar performance of OVH and I don’t say Sunshine Country has been a neglected brand, but I would just think that, I don't know if there's distribution problems or maybe there's more excitement around OVH, that's where the focus is, is there retrenchment strategy that maybe happening behind the scene with Sunshine Country that allows you to maybe focus more on building the brand equity within OVH, something is happening and I'm just wondering if maybe that brand might be having some problems behind the scenes?
Jeffrey Sanfilippo: Sure. Just to clarify, Orchard Valley Harvest is our premium produce brand. It is -- the positioning is after the health and wellness consumer. Sunshine Country is a control. We consider a control brand. It is our lower and product mix, lower price point. It’s really with one key retailer at this point. If that key retailer changes some other dynamics from a shelf allocation standpoint, that’s where you are seeing such an impact on Sunshine Country brand. It is funny that we are still focus on. There are still a great opportunity for lower price point brands in the produce category, something that our sales and marketing team is working on to look beyond the current customer that has -- that takes Sunshine Country and expand that distribution, because there is an opportunity to grow that brand as well.
Francesco Pellegrino: Okay. With pecan market, so it doesn't sound like if there's any like really supply issues and I think, I actually saw that the pecan yield or the total harvest is going to be up slightly and it -- I've heard that there was like the irrational pecan buyer out there that sort of causing pecan prices to remain elevated and continue to run? And I'm just wondering since you are vertically integrated for pecan, are you being maybe a little bit less aggressive now in your purchasing habits and potentially seeing lower prices later on in the year? I'm just wondering where this market is going and what’s the rationale behind prices continuing to be at this level?
Jeffrey Sanfilippo: Francisco, this is Jeffrey. So lot of dynamics happening in the pecan industry, first of all, the supply this year was at average level something there was last year and really for the last subsequent years. We have not had a major increase in the pecan supply for quite a long time. So while the supply has been fairly stagnant, demand is continue to grow especially in China. We anticipate China will import close to 90 million pounds of pecans this year and so part of this is supply standpoint being stagnant, demand is growing internationally. So that is one piece that’s driving reasons for increases. Second one there has been dynamic changes within the buyers for sheller of pecans. There has been some consolidation in the industry. Private equity has invested in a couple pecan shellers recently. So we got more cash available to buy the pecan crop and we did see some what we would consider unrealistic purchasing habits by some of these new entrants in the marketplace. So it has driven the inshell supplier. The demand don’t remain strong and so the meat market has remained relatively strong as a result.
Francesco Pellegrino: Okay. And final question for me, so, in the first quarter you were lapping first quarter from 1Q ‘16 where volume was flat, setting you up like a nice volume opportunity to beat in 1Q ’17, which you did with 10% -- with the 10% increase in volume. We just lapped the really difficult quarter from the year ago period unless you had 9% volume growth. Now we got volume down 4%, but I guess, when we look at some of the earlier questions that I had, you had some elevated lower margin business that’s really not in 2017, going forward in the second half of 2017 and I know you guys don't give guidance on volume sales, but should we be thinking about in regards to this tough comp that’s going to be happening in the second half?
Jasper Sanfilippo: The volume for the second half, again, we had a very good comp last year. We have to in order to meet that comp we have to make up this right way this almond butter business. And please remember last year in Q4 we had an extra week, so this year we don’t -- this year we don’t have that extra week. So it’s even more difficult to meet last year’s volume.
Jeffrey Sanfilippo: On that I would add Francisco, the sales and marketing team are very focused on volume growth. They’ve done a great job margining up the business and really focus on building the brands. We are keenly aware that we need to look at the new distribution, the new strategy of expanding consumer reach is going to be critical to go after new volume growth. So we have a lot of headwinds going into the back half with the loss of that major industrial almond butter customer. The categories are down. If you, the recipe nut category is down overall domestically and there are couple other headwinds from a consumption standpoint domestically that we need to overcome. But we are -- that’s why it’s so important that we expand our consumer reach, getting to new customers and new channels and really focus on developing new innovative products for our key partners.
Francesco Pellegrino: But when you talk about these headwinds and I guess what we saw with, what happened to the overall volume number this quarter. You guys could have lacked to down volumes sales and still be producing recordable -- maybe not recordable EPS in the third quarter, but maybe record EPS in the fourth quarter, because you guys have really reduced your selling expense and administrative expenses in 2017 as compared to the year ago period. So are we just getting maybe the right product mix or is there too many different dynamics occurring on a quarterly basis that it's really hard extrapolate these trends going forward?
Jasper Sanfilippo: There is a lot of dynamics happened once, if you recall, we are -- we have streamlined some of our SG&A expenses and we do have a better price mix, now since we don’t have that lower margin industrial customer any longer, so we do expect margins to improve going forward. Again, there is a lot of mix volume and pricing awesome play.
Francesco Pellegrino: Okay. Perfect. Thanks again.
Jeffrey Sanfilippo: Thanks, Francisco.
Operator: And our next question comes from the line of Stefan Mykytiuk with ACK Asset Management. Your line is now open.
Stefan Mykytiuk: Hi. Good morning.
Jeffrey Sanfilippo: Good morning, Stefan.
Stefan Mykytiuk: So just following up on, a little bit on what Francisco was asking and Jeffrey you alluded to this earlier, but going back 10 years or 12 years, this is a very different company, I think you said before even three, four years ago, this is a very different company. So you lost, you shed 5 million pounds of what I would expect is low margin business this quarter and it sounds like we will have some continued flow through of that certainly from the almond butter in the next couple quarters. But the history of this company seems to be that you're moving your mix, you are bidding, but you have done that over the last 10 years at times and then recapture that volume through higher value-added either branded or private label or contract packaging business. So is this, the 5 million pound this quarter is this part of that whole kind of game plan to keep moving the value-added mix up and continue to improve the complexity of this business?
Jeffrey Sanfilippo: That’s correct, Stefan, that’s exactly what we are doing. We are shifting a lot, as I mentioned, the shift from our inshell walnuts internationally into more domestic shelled branded products and is an example of that. The almond butter in the industrial chattel making up that volume, we are really focusing our efforts on the branded piece of it and also our key partners that we provide their private brands for, there is lot of growth opportunities with them as well. So some strange industry dynamics happened this past two quarters really. We anticipate that they are going to be refocusing their efforts on the snack nut category to turn that volume around. Yes, we have shifted the volume from that lower margin industrial business and in some cases some of the international business to more profit business here.
Franc Pellegrino: And also, this is Franc, that’s also through the consumer channel, back couple years ago our private label consumer channel was probably low in the branded piece of our consumer channels [ph] probably (36:21) low 30% and this quarter we picked that 43%, so we are shifting from private label to branded, just part of strategy.
Stefan Mykytiuk: That’s 43%...
Franc Pellegrino: Of the consumer channel.
Stefan Mykytiuk: Of the consumer.
Franc Pellegrino: Yeah.
Stefan Mykytiuk: Got it. Got it. So as I look over the next few years, is it fair to assume we should expect or your game plan is to resume volume growth of overtime and then as you improve the mix that we should see improving margins in the business?
Franc Pellegrino: Absolutely.
Stefan Mykytiuk: Okay. Terrific. Thanks very much.
Jeffrey Sanfilippo: Thank you.
Operator: And I am showing no further questions at this time. I would now like to turn the call back over to Mr. Franc Pellegrino for closing remarks.
Franc Pellegrino: Again, thank you for your interest in JBSS. This concludes our call for our second quarter fiscal 2017 operating results.